Operator: Greetings, and welcome to the Interpace Diagnostics Group Fourth Quarter and Full-Year 2018 Financial Results, Business Progress and Recent Announcements Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I’d now like to turn the conference over to your host, Jack Stover, CEO. Thank you. You may begin.
Jack Stover: Thank you, Matt, and good afternoon, and thank you for joining us today for a review of our fourth quarter and fiscal year ended December 31, 2018, as well as activities to date. With me today is Jim Early, our Chief Financial Officer. After my overview, Jim will review our financial performance with you in more detail. Following that, we will open the call for your questions. Let me remind you of our mission here at Interpace as I do on all calls. We are a fully-integrated commercial and bioinformatics company that provides molecular and related first-line diagnostic tests and pathology services by leveraging the latest technology in personalized medicine for better informed clinical decisions and improved patient management. As you know, we currently have four diagnostic tests commercialized on the market. ThyGeNEXT is our next-generation sequencing test for cancer risk assessment of thyroid nodules that focus on ruling out cancer for indeterminate thyroid. ThyraMIR is the first microRNA gene expression classifier for thyroid nodule identification, focused on ruling in cancer. ThyraMIR and ThyGeNEXT typically work together. PancraGEN is the first and only U.S. commercially available molecular and bioinformatics test for sophisticated evaluation of pancreatic cysts and now solid masses, as well as biliary strictures. Our fourth and newest commercial product, RespriDX, is our foray into the lung cancer diagnostics. Year-end 2018 net revenues grew to $21.9 million, a 38% improvement over the prior year and at the high-end of the guidance we previously provided. The fourth quarter of 2018 was another strong quarter for Interpace, representing the eighth straight quarter of improved net revenues, with fourth quarter net revenues growing to $5.8 million, or 34% over the fourth quarter of 2017. Our test volumes grew and our pricing or NRV, net realizable value improved, resulting in a record year-to-date, as well as quarterly net revenues once again. In 2018, our thyroid franchise business made up approximately 60% of our net revenues, while our pancreatic or GI franchise made up approximately 40% of our net revenues, a very nice balance. Further, we continue to aggressively grow our business, while rationally managing our costs. I’m once again pleased with our improvement in monthly cash collections as we convert to a new billing and collection system that we believe will better meet our needs, as we continue to drive towards cash flow break-even. Importantly, our cash used in operations was reduced to $8.7 million for the year, a 43% improvement over 2017. Additionally, our net loss for the quarter was more than a 19% improvement over the comparable quarter of 2017. With $6.1 million of cash on hand at year-end, we recently raised an additional $6.1 million net. In an underwritten public offering, we believe our current cash, our improving collections and the availability we have to borrow funds under our $4 million bank line of credit agreement puts us in a good cash position for the foreseeable future. Our most important operating and commercial progress for the quarter, year and to date includes the following. We announced further expansion of our thyroid business by offering tests under three distinct platforms of FNAs, slides and now FFPEs, as we continue to focus on delivering novel and differentiated high-quality client service. We entered into an agreement with the University of Maryland Medical system providing them access to all of our molecular tests. We also added 30 new Blue Cross, Blue Shield plans in 2018, covering our thyroid assays, as well as CIGNA now covering ThyraMIR in addition to its previously approved policy to cover ThyGeNEXT. We announced new Blue Cross and Blue Shield insurance coverage by the Federal Employee Health Benefit Program of 5.3 million covered lives to further utilize our thyroid assays. And we also announced that the American Thyroid Association, or ATA, release of interim results of our registry data supporting the use of our proprietary thyroid assay, ThyGeNEXT and ThyraMIR, and we completed the transition of the Rosetta business to our commercial team utilizing slides to assess the potential progression of indeterminate thyroid biopsies. Also acquiring most of the equipment of Rosetta’s Philadelphia lab to assist us in the expansion of our own clinical labs. Our product extension progress has been principally focused on expanding our PancraGen assay beyond just pancreatic cysts to include both biliary strictures and solid pancreatic lesions and successfully launching ThyGeNEXT, our proprietary new expanded mutational panel for indeterminate thyroid nodules, at the AACE Meeting – Annual Meeting, and of course, planning for several new product extensions to be introduced in 2019, including supportive clinical studies. Our pipeline is principally focused on further developing and launching BarreGEN. BarreGEN is our major high pipeline product focus our CEP, or Clinical Evaluation Program, continues to build as we gather additional data and results of sophisticated users. We recently assigned a development in clinical responsibility of BarreGEN to Dr. Tina Narick, one of our pathologists and a member of our leadership team. With the help of Jim Camuti of our team, we are already seeing progress accelerate. For example, Tina and Jim have organized a group of key opinion leaders in this space to help guide us. Our next meeting is scheduled in June. We’re working on our second clinical validation study to support the ability of BarreGEN to identify patients at risk of progression to esophageal cancer years prior to any visible signs of cancer. We are in discussions with the Centers for Medicare & Medicaid Services about coverage of BarreGEN and, of course, that’s reimbursement-based. We are continuing discuss with – to discuss with potential partners the opportunity to codevelop and/or co-market BarreGEN. We also announced receiving an important Notice of Allowance from the U.S. Patent and Trademark Office covering BarreGEN. And finally, the first independent publication in BMI Open Gastroenterology demonstrating clinical utility of BarreGEN was issued. We are confident that we have the opportunity to be a leader in this important disease state and provide critical information to potentially improve the standard of care for Barrett’s Esophagus patients. As you know, we are continuously expanding our product offerings and importantly, we are able to utilize and leverage our commercial team who have access to high-level positions in GI and endocrine practices. We’re also focused on acquiring or licensing in-products, while also seeking to expand our product offerings outside of the United States. We are now doing business in Canada, Israel, Brazil and elsewhere. Additionally, we are focused on offering and potentially partnering our data and capabilities in the bioinformatics and pharmaceutical space by leveraging the over 50,000 samples we have evaluated. With that, I would like to hand the call off to Jim Early, our CFO, to discuss our financial highlights for the quarter and year-to-date. Jim?
Jim Early: Thank you, Jack. Before I get started with a review of the financial results, I’d like to read the forward looking statement provision. During this call, the company will and has made forward-looking statements. We caution you that any statement that is not a statement of historical fact is a forward-looking statement. This includes remarks about the company’s financial projections, expectations, plans, beliefs and prospects. These statements are based on judgment and analysis as of the date of the conference call and are subject to numerous important risks and uncertainties that could cause actual results to differ materially from those described in the forward-looking statements. These risks and uncertainties associated with the forward-looking statements made in this conference call are described in the Safe Harbor statement in today’s earnings release, as well as Interpace’s public periodic filings with the SEC, including the discussion in the risk factor section in our Form 10-K for the year ended December 31, 2018, which is expected to be filed shortly. Investors or potential investors should carefully read and consider these risks. Interpace assumes no obligation to update these forward-looking statements to reflect future events or actual outcomes and does not intend to do so. In addition, to supplement the Generally Accepted Accounting Principle, or GAAP, numbers, we have provided non-GAAP information. We believe that this non-GAAP information provides meaningful supplemental information and may be helpful in assessing the company’s performance. A table reconciling the GAAP information to non-GAAP information is included in the company’s earnings release, which is available on its website. We can begin the summary of the financial results and the financial position of the company. Good afternoon, everyone. Today, I would like to focus on some key elements of our financial performance and position. As previously mentioned, net revenue for the full-year 2018 was $21.9 million, an increase of 38% from 2017. Net revenue for the fourth quarter 2018 was $5.8 million, a 34% increase over the comparable period of the prior year. The principal reason for our net revenue growth was expansion in both units and improved reimbursement in both our GI and endocrine franchises. The majority of our growth continues to be our thyroid business. However, both our thyroid and GI businesses are growing as anticipated. Our gross profit percentage for 2018 was 53%, as compared to 54% for 2017. Gross profit percentage for the fourth quarter of 2018 was 55%, as compared to 62% for the fourth quarter of the prior year, due mostly to the timing of acquisition of materials and product royalties. Sales and marketing costs for 2018 were $8.4 million, an increase of 28% over 2017 and sales and marketing costs for the fourth quarter of 2018 increased by a 11% to $2.3 million, as compared to $2.1 million for the comparable period of the prior year, as we continue to expand our commercial activities supporting our growth. Important – importantly, as a percentage of net revenues, sales and marketing costs were 38% in 2018, as compared to 41% for 2017, demonstrating our continued leverage of our sales and marketing activities relative to our sales growth. Research and development, or R&D, costs were $2.1 million for 2018, as compared to $1.5 million for 2017. R&D costs were $0.6 million for the fourth quarter of 2018, as compared to $0.3 million for the comparable period of 2017. R&D costs for us are mostly clinical costs and are becoming an increasingly important activity for us to gain or improve reimbursement, as well as for competitive purposes. General and administrative, or G&A, expense for the full-year 2018 was $8.5 million, as compared to $9.2 million for 2017, with the decrease due primarily to reduced transaction fees and consulting costs in 2018, as compared to 2017. Importantly, our G&A expense as a percentage of net revenues in 2018 were 39%, as compared to 58% in 2017, as net revenues rose and G&A expenses declined. Our G&A costs for the fourth quarter of 2018 were $2.5 million, as compared to $2.7 million for the comparable period of 2017. As a result of the information noted above, full-year loss from continuing operations for 2018 and 2017 was $12.2 million and $12.7 million, respectively, while the net loss for both 2018 and 2017 was $12.2 million for both years. The 2018 net loss includes an increase to expenses of $1.5 million, while in 2000 net – 2017 net loss included a $5.6 million restructuring offset to expenses, both related to year-end non-cash charges in the fair value of contingent consideration. The loss from continuing operations for the fourth quarter of 2018 was $4.2 million, as compared to $5 million for the comparable period of 2017 and the net loss for the fourth quarter 2018 was $4 million, as compared to $5 million for the fourth quarter of 2017. As we noted in our earnings release and discussed above, we often referred to adjusted earnings before interest, taxes, depreciation and amortization, or EBITDA, a non-GAAP financial measure when evaluating our cash usage. We define adjusted EBITDA for our purposes as income or loss from continuing operations, excluding interest, taxes, depreciation and amortization expenses, as well as costs related to revaluing of contingent consideration, stock-based compensation, asset impairment, fair value loss on extinguishment of debt, mark-to-market adjustments to our warrant liability and other non-cash charges. Importantly, adjusted EBITDA for the full-year 2018 versus 2017 was negative $4.7 million and negative $7.1 million, respectively, a 34% improvement confirming our ongoing operating trend of net revenue gains and cost containment. Our adjusted EBITDA for the three-month periods ending December 31, 2018 and 2017 was $1.4 million and $1.6 million, respectively, that’s negative $1.4 million and negative $1.6 million, respectively. Our cash position at the end of 2018 was $6.1 million. Our monthly operating cash burn consisting – consistently averaged $0.6 million in both 2018 and 2017. Total cash burn in 2018 and to a greater extent in 2017 included restructuring costs, transaction costs and greater expenditures from discontinued operations. These amounted to approximately $0.1 million monthly in 2018 and $0.9 million monthly in 2017. Capital expenditures increased to approximately $0.5 million in 2018 from almost nothing for 2017, primarily due to the purchase of Rosetta lab equipment during the third quarter of 2018. Our accounts receivable net increased to $9.5 million from $3.4 million at the end of 2017, principally due to our growing revenues and partially due to recognizing all of our revenue on an accrual basis effective January 1, 2018 under the adoption of ASC 606, as compared to 2017 when revenue from – excuse me, certain payer groups was being recognized on a cash basis. In November 2018, we entered into a three-year up to $4 million credit facility with Silicon Valley Bank, including a revolving line of credit for working capital purposes and an $850,000 term component. This is not an ATM, it is simply a bank line of credit. We believe that this facility will assist us in managing our working capital and lab expansion needs. To date, we have not borrowed any funds under this line. Total assets were $48 million and total abilities were $15 million, resulting in stockholders’ equity of approximately $33 million at December 31, 2018. At year-end and as of today, we have no long-term debt outstanding. Our headcount is currently 90, as compared to 78 at the end of the third quarter, as we added several commercial account managers, sales reps and lab personnel, as planned, to our team. With that, let me turn the call back to Jack and the operator, Matt.
Operator: Great. Thank you. At this time, we will be conducting a question-and-answer session. [Operator Instructions] Our first question is from Yi Chen from H.C. Wainwright. Please go ahead.
Yi Chen: Hi. Thank you for taking my question. My first question is, can you provide in a general sense whether the gross momentum observed in 2018 will likely continue in 2019, and whether that gross will continue to be driven by ThyGeNEXT, ThyraMIR and PancraGen in 2019?
Jack Stover: Hi, Yi. Yes, thanks for your question. And let me just get it clear. What you’re saying – your question is the growth in 2019, right, where it’s coming from?
Yi Chen: Yes.
Jack Stover: Yes. So let me address that. First of all, as you know, we’re very conservative about the guidance that we give. Today, we’ve only really provided top line guidance in terms of revenue. We plan to give top line guidance in revenue at the end of our first quarter, and that’s typically what we’ve done in the past. Our plan or our budget for 2019 is indicative of our growth coming from both our thyroid and our GI franchise. It does not anticipate a significant amount of growth coming from BarreGEN. At least in 2019, although, we could get lucky and we could launch that product in a bigger way, but it’s dependent upon some of the studies that we are currently working on. As it relates to the guidance and where we are currently, we’re almost through the end of March from an operational point of view. And what I can tell you is that the units that we are receiving, both in terms of thyroid and PancraGen are performing excellently, and we are right on plan for our 2019 activities. However, today, we haven’t given specific guidance around what we do plan to do for 2019.
Yi Chen: Okay. And in terms of the ThyGeNEXT or ThyraMIR tests offered three different platforms, is there any concentration on one – or two of the three platforms, or they are evenly distributed?
Jack Stover: Yes. They are not evenly distributed. And that’s principally as it relates to the fact that, we were primarily in FNA operation or fine needle aspirant-based technology. In the last year or two, I’d say, that the slide growth has been accelerating. And I don’t know, Jim, I forget what the percentage of our revenue was from slides. But it’s growing.
Jim Early: Definitely growing, right.
Jack Stover: The paraffin or the FFPE piece is the most recent platform and that was really initiated late in 2018, so that’s certainly far behind. What’s nice about it, though, is that when we go in and visit a customer and we’re talking a pathologist from a customer point of view, the different mechanisms that we have in terms of being able to accurately evaluate biopsies across these three separate platforms provides a lot of confidence to physicians about how they want to see results. So it’s been certainly a significant rationale or reason for our continued growth is that customer service piece.
Yi Chen: Okay. And within 2019, how many clinical data readsout – readouts from BarreGEN can we expect to see?
Jack Stover: I’m sorry, BarreGEN or would you say…
Yi Chen: Yes. Sorry, BarreGEN, yes.
Jack Stover: Right. So what we expect to see in 2019 is, we have a clinical evaluation of progressors readout that we’re expecting to see and also a clinical validation looking for predictive reoccurrence. Our expectation is that, it’s likely in the second-half of 2019 and likely one of them in early 2020.
Yi Chen: Got it. And finally…
Jack Stover: If I can just also mention that, we also have our clinical experience or our ongoing clinical experience study going on. And so much like the independent study that was published, we expect to see more of that as that CEP program continues to progress.
Yi Chen: Okay. And finally, on the operating expenses in 2019. Can we expect that to remain relatively stable compared to 2019?
Jack Stover: Yes. As it relates to the percentage of our revenues, I see that continuing to be relatively steady. As Jim said in his commentary, R&D and the clinical work is becoming a bigger and bigger part of what we do, especially as we’re looking to not only compete, but to improve reimbursement in the marketplace as well. So I see that number being relatively consistent, but that number will continue to grow, Yi.
Yi Chen: Okay, got it. Thank you.
Operator: Our next question is from Caroline Palomeque from Maxim Group. Please go ahead.
Caroline Palomeque: Hi, good afternoon. Thanks for taking the question. So the first question I have is just about your cash runway. I was just wondering what you – if you could you any – just more color on what you think you have runway till?
Jack Stover: Sure. Yes, we say in the – in our commentary for the foreseeable future and for us as we look out over a year – year-and-a-half based upon our current burn rate, which is, in fact, coming down. We feel like we’re in pretty good shape. Let me talk about cash flow break-even. And the mechanics of cash flow break-even for us based on our current estimate is that, we think that when we get to about a $35 million run rate in revenue, we will be able to continue to fund our development costs, meaning that we’ll be able to continue to fund the growth in our revenues from that point forward. So that’s our timing. The question is how quickly do we get to the $35 million run rate? And I will tell you that getting there is not the plan in 2019, but it is the plan for the middle or so of 2020.
Caroline Palomeque: That’s really helpful. And then I’m just wondering if you could talk about your June meeting with the KOL group on BarreGEN. I’m just wondering just sort of what you hope to discuss at that meeting?
Jack Stover: Yes, all the – so we have three separate KOL groups. We have a KOL group in GI, specifically focused on PancraGen. We have a GI group in thyroid, and now we have a GI group in BarreGEN as well. And so the great part about it is, it’s really a group that are luminaries, if you will, in the Barrett’s Esophagus area. And what we do is, we’ll present them with basically our business profile and the evaluation of options and plans or programs that we have in terms of moving forward in the next year or two. And most of what we do is listen to them. So when they get together, it’s a very active group. They share a lot of ideas. They come well prepared. And the hope is that, we walk away with targeted activities as to what and when we need to focus on in terms of accelerating our whole Barrett’s Esophagus program. So it’s more open-ended than it is closed-ended, meaning, we don’t tend to direct them, but we do ask open-ended questions. And their responses, obviously, are critical to us, not just on a scientific point of view and oftentimes more importantly, on a commercial point of view, as it relates to their customers, because most of the KOLs that we have are both practitioners as well as academic publishers. So it’s a very diverse group.
Caroline Palomeque: Okay, thanks.
Operator: [Operator Instructions] Our next question here is from Ben Haynor from Alliance Global Partners. Please go ahead.
Benjamin Haynor: Good afternoon, gentlemen. Thanks for taking the questions. First off, for me, just – I’m sorry, if I missed this earlier. But in terms of international revenue, I know plan there is to continue to grow. And I think last we heard, it was around 4% of revenue. I guess, how do you expect that – what proportion of revenue do think that will – international revenues will make up here this year? And any color there you can provide on the international side of things would be helpful?
Jack Stover: Yes. Ben, it is still growing. It’s probably going to be closer to 5%, 6%, 7%. It was in the high 4% for 2018, as we originally projected. The nice part of what we do there, especially on the thyroid side, is that we don’t have to ship our assays in a refrigerated form. We utilize RNA retain and because we’re a microRNA-based company as opposed to a messenger RNA-based company, the samples themselves are very resilient. And so whether it’s heat or cold or even the length of time of transportation, the assays have been very stable. Our plan is really to be opportunistic. And certainly, we are talking to companies in South Korea about licensing our product as a stepping stone into Asia, and that’s logically the next place for us.
Benjamin Haynor: And that would be – they would be running the test in their lab, or they would or they would ship them to you guys, the South Korea potentially?
Jack Stover: Yes, either way, we’re always cautious about having them run our assays in their labs because of the technical nature of what we do. But we would likely begin by running the assays ourselves like we do for Canada and like we do for for Israel. But down the road, if volume grows, we would certainly expect that they would be able to run the tests themselves.
Benjamin Haynor: Got it. And then just thinking about the bioinformatics piece and how those discussions are going, I mean, is – are you getting closer to having something that you might need to 8-K there, or what should we expect to hear in this year on that one?
Jack Stover: Yes. There is a good deal of, I use the word analysis evaluation going on. And mostly around the volume of data that we have, remember, that we are a targeted sequencing company. And so when you look at our assays, we are not the broadest-based diagnostic company in terms of what we do. So we tend to take a position of biomarkers that matter as opposed to just providing all biomarkers. But with the cost of sequencing coming down, we recognize the ability to provide broader-based sequencing, if you will, and broader-based data is especially important in the areas that we see growing. Two of the areas where we see a lot of pharmaceutical interests are in the pancreatic cancer area and as well as the Barrett’s Esophagus area. And I think you’ll see growth or continued interest in the thyroid space. And, of course, one of the reasons that we got into the lung area is that it’s a – we have some very good data. But importantly, it’s a targeted area for therapeutics that certainly is growing. So we have a lot going on. I can’t tell you that. We’re close to an 8-K type activity, but there’s a lot of work that has to go on before that 8-K concept will hit the marketplace.
Benjamin Haynor: Understood. And then, I guess, lastly, for me just the conversations that you’re having with CMS on BarreGEN. It sound – I mean, this is me reading between the lines. But it sounds like that’s maybe progressing a little bit faster than certainly we anticipated, but maybe faster than you guys have anticipated. What do you expect there, or any color on how those discussions are progressing would be great?
Jack Stover: As you know, it’s hard to handicap that. But what we do know is a couple of things. One is that our Barrett’s assay is built on the same platform as our pancreatic cancer assay, and quite frankly, as our lung assay as well that have both received reimbursement. So that’s a great place to start. The other is that from a molecular point of view, there’s not a lot of competition in the space yet, and this fits very well into our core capability of prognostic evaluation. So it’s a very good fit. And we know from our KOL group that the golden goose here is at an early stage to be able to identify those Barrett’s Esophagus patients that potentially can progress to deadly esophageal cancer. And so the mechanism around that that we use for PancraGen and for thyroid, by the way, is reduction in surgery. For Barrett’s Esophagus, it’s really around the reduction in radio frequency ablation, and that can be a very costly and expensive process. The good news in terms of what’s happening with CMS is that, at least, we believe that the requirements for gaining reimbursement are becoming more quantifiable and it’s about data and it’s about readouts, and that’s why we put an emphasis on that in terms of our clinical or R&D work. So, again, it’s hard to handicap, but we’re certainly on the right track we think.
Benjamin Haynor: Great. Thank you, guys, so much for taking the questions.
Jack Stover: Yes. Thank you.
Operator: Our next question is from Jeffrey Cohen from Ladenburg Thalmann. Please go ahead.
Destiny Buch: Hi, this is actually Destiny on for Jeff. Thank you for taking the questions. I just wanted to circle back to your comments on the current headcount. I believe you said there were 90 representatives from 78. I just wanted to know if you felt like that was enough to propel you for 2019 or if you plan on adding additional reps? And if so, how many do you plan to add during 2019? And what’s your target headcount for 2019?
Jack Stover: Sure, Destiny, good question. Yes, let me be clear about that. Our 90-person is really the headcount for the entire company, not for the commercial side exclusively. So basically, if you looked at our commercial team right now, the commercial team roughly is 16 people in thyroid and roughly 10 people, maybe 11 people depending upon how you count it in the GI side. And then there’s a group or a team of people behind that in the commercial side that continue to support that. So of our 90 people, more than a third of our people are really in the commercial part of our business, and I’d say, even greater than another third are really in operations, these are the people in the lab. What we have done and what we’ve said we will do is continue to grow the commercial side of our activity at roughly 30%, which is roughly then the the growth cycle that we’ve had. So the expansion, if you will, of the sales of the commercial people has been very positive and we’ve got good pull through for that in terms of what we’ve done. Typically, we try to front-end load a lot of the headcount, especially the commercial headcount, primarily because if we want to be able to reach our revenue goals bringing the sales rep or new sales reps on in the second-half of the year won’t give us much of a chance to really catch up. It takes them a period of time to get positive or at least get cash flow positive in terms of what they do. I think what you will see though is that from our current headcount, we will be adding additional people, as we continue to grow in 2019. And I think, it will be consistent with what we’ve done in the past, which is that effectively we’ve been adding really less than 10 people a year.
Destiny Buch: Okay, got it. Thank you. And then, I guess, my last question would be, are you planning on attending any scientific conferences within the next three to six months? And should we be expecting any presentations?
Jack Stover: Yes, another question, Destiny. And the answer is, yes, and we’re constantly attending conferences. And to be honest with you, I don’t have the upcoming conferences on my schedule right now in terms of what’s happening in the next 30 days or so. But I’ll reach out and we’ll share that with you shortly, because we’re both in the GI and the endocrine business. I’d say, every month we’re at a different conference. And as you know, we’re either doing – presenting in terms of platforms or posters, but we’ll give you an update on that. I just don’t have that with me right at this moment.
Destiny Buch: Okay. Thank you.
Operator: Great. Thank you. This concludes the question-and-answer session. I would like to turn the floor back to Mr. Stover for any closing comments.
Jack Stover: Thanks, Matt. Well, I think in 2018, we continued to grow at exceptional rates and expand both of our key franchises. Obviously, our plans for 2019 are to continue to do that. And as I mentioned, we’re seeing very continuous strong support and growth in terms of unit activity in Q1. While we can’t really guarantee factors, we do believe we have multiple opportunities that really could lead to additional inflection points and near-term value drivers for us in 2019, some of which I’ve talked about already. What you see from us, I think, first and foremost is our success in gaining additional reimbursement. We have opportunities with PancraGen, especially to add more commercial insurers and to gain more contracts with both of our thyroid assays. Now remember that, we have Medicare coverage for both PancraGen and our thyroid business. We look forward to leveraging the new sales reps and our account managers to our commercial team. We talked about that target growth of around 30% again for 2019. We’re engaged with the advice and the direction from our KOLs, and we’re especially enthusiastic about the BarreGEN KOLs, especially how that group came to together with Dr. Nick Shaheen from the University of North Carolina more than anxious to be able to support us. And we talked a little bit about our slide biopsy business and the acquisition of what we did with Rosetta. We see that continuing to accelerate, especially since much of that took place late in 2018. So we expect to see that full activity in 2019 and, of course, we expect to leverage the successful launch of our next-generation product, ThyGeNEXT, and provide new technology applications for thyroid in 2019 things that we’re already working on and that we will be targeting to upcoming scientific presentations. And, of course, the growth of PancraGen, the new applications for us for biliary and solid lesions have again been good initial drivers for us, we see that continuing. But as we look beyond them, we look at sort of key strategic areas for us beyond our organic business. We have very unique microRNA capabilities. We’ve already taken advantage of that in our thyroid business, I explained how being a microRNA-based company has been a good placeholder for us in terms of stability of samples. We have plans, obviously, to expand our international footprint, especially since we’ve now gained a fair amount of success in terms of how we’re dealing with third parties. And, of course, being a player in the prognostic medicine space and expanding that role with our proven expertise and what I mean by that is that, when we evaluate biopsies, we – for the most part evaluate only indeterminate biopsies, that means that basically a pathologist can’t determine whether there’s cancer present or not. And effectively, what we’re able to do is three, four, five years down the road, we’re able to identify, which of those indeterminate biopsy-based patients are going to progress the metastatic cancer. That application in cancer is obviously very important, but the ability to expand that into other therapeutic areas is important. We talked about our opportunity with our data with over $50,000 data points and, of course, engaging with that data and now with artificial intelligence driven opportunities, which is for us is a matter of leveraging over 10 years of activity. And then, of course, we have a lot of activities in our pipeline mostly around BarreGEN by hitting those milestones and getting our product to market as soon as possible, product to market with reimbursement is obviously key for us. So we believe these opportunities and more set us apart from our competitors and other less robust molecular diagnostic companies. So, Matt, that’s all I have to say.
Operator: Great. Thank you. Well, this does conclude today’s teleconference. You may disconnect your lines at this time. Thank you, again, for your participation.